Analyst: P. J. Juvekar – Citigroup Jeffrey Zekauskas – JP Morgan Securities Edlain Rodriquez – Lazard Capital Markets Analyst for Mark Connelly – CLSA Tim Tiberio – Miller Tabak & Co., LLC. Ben Isaacson – Scotia Capital Ian Horowitz – Topeka Capital Markets [Mark Gooley – Gooley & Associates]
Operator: Welcome to the second quarter 2012 CF Industries Holdings earnings conference call. At this time all participants are in a listen only mode. Later, we will conduct a question and answer session. (Operator Instructions) As a reminder, this conference is being recorded for replay purposes. I would now like to turn your conference over to your host for today Mr. Dan Swenson, Senior Director of Investor Relations and Corporate Communications.
Dan Swenson: Thanks for joining us on this conference call for CF Industries Holdings, Inc. I’m Dan Swenson, Senior Director of Investor Relations and Corporate Communications and with me are Steve Wilson, our Chairman and Chief Executive Officer; Dennis Kelleher, our Senior Vice President and Chief Financial Officer; Bert Frost, our Senior Vice President of Sales and Market Development; and Tony Will, our Senior Vice President of Manufacturing and Distribution. CF Industries Holdings, Inc. reported its second quarter 2012 results yesterday afternoon as did Terra Nitrogen LP. On this call we’ll review the CF Industries results in detail and discuss our outlook referring to several of the slides that are posted on our website. At the end of the call we’ll host a question and answer session. As you review the news releases posted on the investor relations section of our website at www.cfindustries.com and as you listen to this conference call, please recognize that they contain forward-looking statements as defined by federal securities laws. All statements in the release and on this call other than those relating to historical information or current conditions are considered forward-looking statements. These forward-looking statements are subject to a number of risks and uncertainties many of which are beyond our control and which could cause actual results to differ materially from such statements. These risks and uncertainties include those spelled out in the Safe Harbor Statement included in yesterday’s new release and the Slides accompanying this call. Consider all forward-looking statements in light of those and other risks and uncertainties and do now place undue reliance on any forward-looking statements. Now, let me introduce Steve Wilson, our Chairman and CEO.
Stephen R. Wilson : Yesterday afternoon CF Industries reported earnings of $606 million and diluted earnings per share of $9.31, both records for any quarter in the company’s history. We also generated over $1 billion of EBITDA during the quarter. These results attest to the earnings power of CF Industries, the execution of our business plans, and very favorable market conditions. With the early start to the planting season, strong corn demand, and attractive farm level economics, over 96 million acres of corn were planted, a post WWII record. The high corn acreage along with ideal spring weather conditions created strong nitrogen demand that continued through the planting season. As a result, for the first six months of the year, we sold a record volume of nitrogen products driven by ammonia and urea. During this time period we sold nearly 75,000 tons more ammonia than last year and about 120,000 tons more urea. The increase in urea sales was possible due to our flexible configuration that allowed us to cut back UAN production in order to maximize higher margin urea. Market demand in the second quarter was strong for all nitrogen products although we sold less nitrogen in the second quarter 2012 than in 2011. This was primarily due to demand that was pulled forward to the first quarter. The strong demand and movement through distributors and retailers during the quarter resulted in exceptionally low North American nitrogen inventories at June 30th. Using our own inventories as proxies for those across North America, we believe that producer inventories of nitrogen products were at or near historical lows. Throughout this period of high demand our team worked diligently to meet our customers’ nutrient needs. This is evidenced by the record 95,000 tons of ammonia that we shipped through our Velva North Dakota terminal in April and May. To put this movement in context, we have only 30,000 tons of storage at Velva which means we turned the inventory in that location three times during those two months. Our employees demonstrated terrific execution which allowed us to capture incremental sales and margin during a peak period. The application season demand was evident in the prices we realized during the quarter. Urea prices increased 34% compared to a year ago driven by strong demand and tight North American inventory. Ammonia prices increased 7% due to high demand for direct application. UAN prices were essentially unchanged from the second quarter 2011 but were up sequentially as customers came into the market after delaying purchases earlier in the year. It was not until the application season came to an end that urea and UAN prices began their normal declines from seasonal highs. However, ammonia prices remained high at the end of the quarter due to ongoing demand for direct application of the phosphate production, tight worldwide supply, and low inventories throughout the distribution channel. During the quarter we continued to benefit from low cost natural gas as increased gas production kept prices in check even with the demand created by hot weather and the associated increase in electricity consumption. In our phosphate segment, export sales were up 21% as international markets continued to provide us with the best margin opportunities. Additionally, during the quarter we started manufacturing sulfur enhanced MAP, or MAPS which was moved into inventory in preparation for sales in future periods. During the quarter CF Industries generated exceptional earnings and operating cash flow. We utilized some of that cash to complete the remaining $500 million of our share repurchase program at an average price of $163.89 per share. Under the full $1.5 billion repurchase program we bought back a total of 9.6 million shares at an average price of $156.80. We are pleased to have completed the program and I will have additional comments on our capital allocation plans after Dennis provides more financial highlights from the quarter and first half.
Dennis P. Kelleher : During the second quarter of 2012 the company reported net earnings attributable to common stockholders of $606 million or $9.31 per diluted share. This compares to $487 million or $6.75 per diluted share in the second quarter 2011. Our second quarter 2012 earnings included a non-cash mark-to-market gain on natural gas derivatives of approximately $78 million and $15 million of amortization of capitalized financing fees related to the termination of our prior credit facility. The net impact of these two items was an increase of $0.60 in after tax earnings per diluted share. Our nitrogen business performed exceptionally well during the second quarter. We delivered 3.5 million tons of nitrogen products and achieved a gross margin of 66% which you can see on Slide Six. The increase in segment gross margin reflects released natural gas cost of $3.13 per mmbtu during the second quarter of 2012 as compared to $4.32 a year ago. It also reflects a non-cash mark-to-market gain of $78 million on natural gas derivatives contracts in the second quarter 2012 as compared to a loss of $14 million in the prior year period. At the end of the quarter we had hedged positions for approximately 60% of our expected natural gas purchases for the remainder of 2012. During the second quarter of 2012 we sold 793,000 tons of ammonia at an average released price of $635 per ton. Ammonia volume for the second quarter of 2012 was 19% lower than a year ago primarily due to the early start of the application season in 2012 that pulled ammonia demand into the first quarter of the year. Our average released sales price for ammonia was 7% higher in the second quarter of last year due to tight industry wide inventory and strong demand. Second quarter sales of granular urea decreased by 5% year-over-year to 694,000 tons. Our volume decreased due to lower sales into the northern tier of the US and lower inventory available for sale at the beginning of the quarter due to the strong sales volume in the first quarter of 2012. Our average realized price of $522 per ton was 34% higher than in the second quarter of 2011 due to tight North American product inventories and robust demand through the application season. During the second quarter of 2012 we sold nearly 1.63 million tons of UAN compared to approximately 1.65 million tons in the second quarter 2011. Average UAN price realizations were $324 per ton essentially unchanged from the second quarter 2011. As shown on Slide Seven, our phosphate segment achieved total revenues during the quarter of $232 million down about 22% from the second quarter 2011. Total sales volume was 493,000 tons, 8% lower than in the second quarter 2011. Exports increased from 45% of our phosphate sales volume in the second quarter 2011 to 59% this year because of stronger buying interest and more attractive net prices outside North America. Average phosphate price realizations during the second quarter were about 15% lower than 2011 due to muted global demand and the segment generated 22% gross margin down from the 29% gross margin reported a year ago due to lower average selling prices. Net cash provided by operating activities was $446 million in the second quarter 2012, an increase of $195 million from 2011 primarily due to higher net earnings and lower accounts receivables. These quarterly results contributed to a record setting first half for CF Industries. For the six months ended June 30, 2012 the company set records across a number of financial metrics including revenues, EBITDA, earnings, and earnings per share. Total first half revenues were a record $3.3 billion compared to $3 billion in the prior year. First half volume was a record 7.7 million tons compared to 7.6 million tons the prior year period. Total EBITDA for the six month period increased 19% to $1.8 billion while total gross margin as a percentage of sales increased to 54% from 47% driven by both higher selling prices and lower natural gas costs. These items contributed to a 27% increase in net earnings to common stockholders to a record $975 million and a long with share repurchase activity increased earnings per diluted share by 39% to $14.81 per share. The repurchase program lowered our weighted average diluted share count in the second quarter by 1.3 million shares which had the impact of increasing our earnings per share by $0.19. Total repurchases made under the program approved in August 2011 reduced weighted average diluted shares for the six months ended June 30, 2012 by 7.2 million shares which increased our year-to-date earnings per diluted share by $1.46. Finally, I want to highlight the recent move by Standard & Poors to upgrade our credit ratings to investment grade. This is the latest recognition by the rating agencies of the strength of our business model and our successful track record in executing our business plans and maintaining an investment grade credit rating profile. Now, let me turn it back to Steve.
Stephen R. Wilson : Long term trends and population growth, higher protein diets, and the use of crops for renewable fuels continue to drive demand for plant nutrients. [Inaudible] global grain and oil seed supplies have driven crop prices higher and created the incentives for farmers to plant a large crop again next year. Natural gas prices are in a favorable range for us and have contributed to a strong earnings profile for the company. What was great weather for spring planting and fertilizer applications turned into very difficult growing conditions in many areas. The dry and hot weather has reduced expectations for yields, harvested acres, and therefore crop production. This naturally should lead to very low [stock-to-use] ratios for crops, corn being the most significant. We currently estimate US corn yields will be approximately 135 bushels per acre which would be the lowest yield since 2002 and that number could go even lower. Given their poor condition, crops in many fields will be abandoned and harvested corn acres will likely be two to four million acres lower than the latest USDA forecast. This significant decline in corn production will be partially offset by reduced demand due to high corn prices but still could result in a [stock-to-use] ratio of just 5.5% for the 2012 to 2013 marketing year which would be the second lowest level in 40 years. Reduced corn supply is creating a need and high corn prices are creating the incentive for farmers to plant an estimated 96 million acres of corn again in 2013. This expected large planted crop supports our expectation for significant demand for nitrogen, a nutrient that must be applied every year. We are aware that good fall application conditions require additional moisture and of course we don’t know whether sufficient rain will arrive. However, regardless of fall conditions, high grain prices and expected spring planting should result in strong nutrient demand. We expect phosphate demand to be strong for the rest of the year. Increased demand in Latin America is expected to develop as tight worldwide course grain stocks and associated high grain prices motivate farmers to plant significant acres of all crops, especially soybeans. India still needs to purchase additional phosphates which would also provide support to the market through the balance of the year. These near term dynamics are representative of the long term fundamentals that support our beliefs in the value of CF Industries and the cash generation capabilities of our business given us confidence that we can both invest for earnings growth and return cash to shareholders. Our recent announced agreement to purchase Viterra’s interest in CFL, our jointly owned nitrogen production facility in Medicine Hat, Alberta is a key example of our strategy to invest in projects that have attractive risk adjusted returns. We have operated the Medicine Hat complex for 35 years and know the asset inside and out. The facility is located in one of the lowest natural gas cost regions in North America and serves a key agricultural area. We look forward to having access to all of Medicine Hat’s production and to being able to make investment decisions at our sole discretion. As noted in our earnings release, we recently reviewed and updated our potential North American nitrogen investment opportunities. We now anticipate spending approximately $2 billion between 2013 and 2016 on capacity expansion and product upgrade projects. These projects, if all are approved and executed, could provide us with approximately 1 million additional gross tons of ammonia and 3.5 million tons of combined UAN and urea capacity. We expect that the bulk of these investments will be made from 2014 through 2016 and that meaningful amounts of additional ammonia capacity could come on stream beginning in 2015. The nature of these brown field investments should enable us to bring additional product to market well before a Greenfield complex could be permitted and constructed. We expect to announce some specifics of this program before year end. While we’re making these investments to enhancing earning capacity of our business, we will continue to return excess cash to shareholders. As part of our plans to do so, we have approved a new program to repurchase up to $3 billion worth of our common shares through December 31, 2016. We believe that a judiciously executed share repurchase program is the most appropriate means by which we can return excess cash to shareholders yet retain the flexibility to invest in value enhancing growth opportunities such as the acquisition of the interest in CFL and our capacity expansion projects. We completed the prior repurchase program within 10 months, a full 19 months before its expiration and we executed the program in a measured and disciplined fashion. Given the size and duration of the new share repurchase initiative we believe it should be viewed as a long term program rather than as a single event. We will continue to carefully weigh our options and invest cash when and where we feel it will provide the best returns. Before taking your questions I’d like to reflect on our strategic positioning. Our company has developed and successfully executed a sharply focused strategy based on our operating strengths and our commitment to shareholder value. The Terra acquisition in 2010 more than doubled our capacity in the North American nitrogen industry creating the largest presence in arguably the best market in the world and with the best cost profile from which to serve that market. Both our upcoming Medicine Hat acquisition and our brown field investment program are completely aligned with that strategy. This focused growth strategy has been complimented by returning to shareholders capital that is not needed to execute our investment program. The new $3 billion share purchase program is an extension of that commitment to our shareholders. It is my hope and our teams shared objective that our shareholders recognize the operating, investment, and financial discipline that has led to these decisions and the resulting actions and performance. This focus and discipline will continue to characterize all of our activities. With that we’ll now open the line to answer your questions.
Operator: (Operator Instructions) Your first question comes from Kevin McCarthy – Bank of America.
Kevin McCarthy – Bank of America: A quick question on your nitrogen capital projects in North America. You’ve raised that number to 2 billion from one to 1.5 previously, I was wondering if you could provide a little bit more color on whether or not the cost per unit of capacity is rising or whether it’s the case that you’re simply looking at more incremental capacity now than you might have been in the past or perhaps some combination of those two?
Stephen R. Wilson : Essentially what we found is more opportunity than we thought we had when we last talked about this. In other words, more capacity and upgrading capability that we originally thought.
Kevin McCarthy – Bank of America: Just maybe a broad question Steve with regard to the way this crop is shaping up and the epic drought everyone is experiencing. You threw out some numbers on yield and a forecast that the harvested acres would decline as well. If we have a more extreme scenario where production comes in say less than 11 million bushels, as an example, can you speak to how you think corn demand will be backed out in terms of animal feed, exports, and whether or not you think the ethanol mandate will be addressed as some point in terms of a waiver?
Stephen R. Wilson : We think in general the market will take care of rationing itself. Everyone knows that livestock herds are being thinned as we speak. That’s the first piece of demand to go away. Certainly it’s possible that export volume could go down and we’ve seen some economics at work in the ethanol market, capacity being throttled back and then coming back in and so forth so I’d expect to see that continue. Whether the ethanol mandate might be suspended or waive is obviously a political decision. The political winds go in various directions during an election year so it’s hard to predict whether that might happen but it’s certainly a potential tool to ratio corn demand.
Operator: Your next question comes from Don Carson – Susquehanna International Group.
Don Carson – Susquehanna International Group: A question on your nitrogen capital plans, first on Greenfield, I know you’ve been a little more cautious on the ability to get permits for Greenfield nitrogen. Some of your competitors don’t seem to think it’s an issue so maybe you could just update us on permitting status for a new plant and why you’re still not considering a Greenfield plant? Then on your increase in capacity, is that partly due to Medicine Hat that now you’ve got more flexibility once you own 100% that you can put more capacity north of the border which I guess is a somewhat friendlier permitting environment?
Stephen R. Wilson : With respect to your second question, I don’t think acquiring the Medicine Hat interest impacts our general look at this portfolio of opportunities. Medicine Hat was in the mix of sites being considered all along and continues to be certainly on the table for us. With respect to Greenfield versus brown field and related permitting issues, I mean permitting is a challenge in industrial businesses in America broadly. Fortunately for us, we operate at seven sites in North America, we have brown field opportunities in many of those locations and so we’re really not faced with the challenge of Greenfield citing. The brown field opportunities are much more economic. We believe they can be permitted, designed, and built much faster than a Greenfield opportunity so we’re very pleased with the position that we’re in. But, permitting is a challenge and I certainly would caution anybody who is thinking about building capacity in the US who doesn’t have experience here. It’s a hell of a challenge to get a complex permitted.
Don Carson – Susquehanna International Group: Just a follow up on that Greenfield permitting, does that mean you have no plans at this time for a Greenfield plant or are you just waiting for November 7th to see if there is a friendlier regulatory environment in the US?
Stephen R. Wilson : The menu of opportunities that we’re looking at under the $2 billion we’ve talked about are all brown field opportunities.
Operator: Your next question comes from Vincent Andrews – Morgan Stanley.
Vincent Andrews – Morgan Stanley: I just wanted to follow up on your last comments regarding the share repurchase and I think I heard something so I just want to clarify it. You seemed to indicate that this repurchase would be, I think you said something more long term in nature and less a function of singular events. I just wanted to maybe try and understand how you’re going to allocate all this capital under the scope of the idea that obviously you want to remain investment grade so were you trying to say we should look to or we should model share repurchases happening ratably a quarter or do you think it would still be more opportunistic relative to where the equity value trades?
Stephen R. Wilson : What I was hoping to do was sort of broaden the look at this activity that investors and analysts give it. We’ve done two repurchase programs since we’ve been public. They were understandably the focus of attention by investors and I believe they were viewed as events. Given now we’ve put in place a $3 billion repurchase program with a window that is a multiyear window we would hope to reduce the focus on the frequency and magnitude of share repurchases as being a quarterly event and hope you and others would view what we’ve done in the past as an indication that we are very prudent deployers of capital, that we make good decisions whether they are investments in capital expenditures or investments in our own shares, and that we have a good track record of doing that and intend to continue.
Vincent Andrews – Morgan Stanley: Just as a follow up, could you just discuss a little bit anything you’re hearing from customers on cash flow issues or maybe also what’s happening with the river system given the low levels of water and if that poses or means anything in terms of the second half.
Stephen R. Wilson : I’ll talk briefly about the river system and then I’ll ask Bert Frost to comment on the customer side. We do have low river levels, it’s created some challenges. The challenge for us in the fertilizer business is not quite as great as it might be for example for people moving grain because the number of barges in a tow of fertilizer is much smaller than the number of barges in a tow of grain. But it is slowing us down and it has a little bit of cost in the process. We believe we’re in a good position to meet all of our customer needs. That’s assuming that for example, customer docks are accessible and things like that and those can be issues in individual locations. But I would say so far we’re coping reasonably well and we have a very skilled supply chain group. This is what they do for a living and they’ve got their thumb on the pulse of all of this and are working hard to make this a non-event.
Bert A. Frost : Regarding customer, I think cash flows, you have to remember our customer base is broad. We’re exporting products through our key trade arm, we’re working with wholesalers, retailers, and traders in the United States. So if you’re narrowly looking at a cash flow issue you’d probably go down to the retailer. We’ve had several really good years in the United States with fertilizer, input, and feed movement and so I think today everyone in the value chain is doing well. What you will probably see as we go through the drought and the harvest and ramifications of that you will see the revenue guarantee programs of crop insurance kicking in so there will be an average of the harvest month and then the farmers will then be getting that cash and that’s where I think it begins, at that level of cash flow. Then that will work its way back up the value chain and those farmers will then start purchasing their crop inputs and we will see a more normal probably movement of purchasing and movement to the field in the fourth quarter.
Operator: Your next question comes from Michael Piken – Cleveland Research Company.
Michael Piken – Cleveland Research Company: I just wanted to circle back and talk a little bit more about some of the international events happening. One, I was wondering what your expectations are for Chinese urea and phosphate exports in the second half of the year and then secondarily when you think some of this new capacity in the Middle East is now going to come online?
Stephen R. Wilson : Our view on urea exports out of China for this year is down from last year something in the range of 2.8 million tons or thereabouts. Last year I think it was about 3.5 so that’s a significant drop. Of course, we don’t have any direct insight into how they manage this specifically we just watch the flows like everyone else. With respect to capacity expansions, every year we go through a cycle of looking at all of the new capacity that is looming on the horizon and then we watch as the year unfolds and invariably a number of projects are delayed and that has been the case again, this year there have been delays on projects either in the construction or the ramping up for example, [COPCO 6s] is up but it’s not running at capacity. We have projects in Egypt that are delayed, and so forth. I think by in large what has happened again this year is we roughly have capacity coming on roughly in line with the growth in demand and we’re certainly comfortable with our global situation.
Operator: Your next question comes from P. J. Juvekar – Citigroup.
P. J. Juvekar – Citigroup: You mentioned 96 million acres of corn again in 2013. Do you have an estimate for soybeans? Then secondly, just on this acreage issue, Latin American acres are likely to go up but do you have anything on what you’re thinking how much it would go up?
Stephen R. Wilson : Our number for soybeans for next year is about 77 million acres. I’m sorry, what was your second question?
P. J. Juvekar – Citigroup: How much could Latin American acres go up next year to compensate for the loss production in the US?
Bert A. Frost : I think you’re going to see – well, they’re coming out of a difficult period where they harvested where you saw the loss in production in Argentina. What you’re going to see is they roll into their planting season in October, and Brazil specifically is a heavy influence on soybean, probably at the detriment to first crop corn but I think you’ll see a rolling off of cotton which is planted in November, a decrease in that acreage and that rolling into second crop corn. So we’re anticipating an increase in fertilizer, both nitrogen and phosphate in South America to one, achieve higher yields and two, due to higher acres planted.
P. J. Juvekar – Citigroup: Secondly, there’s been a lot of discussion about drought and the dry soil and how it relates to nitrogen application. Can you differentiate between sort of ammonia that is applied in the fall versus urea that could be applied in the spring and how does that shift occur between fall and spring?
Stephen R. Wilson : The basics here, should we get no rain or insufficient rain between now and the harvest, we would have very challenging field conditions for ammonia in the affected regions and it manifests itself in two ways by an inability to get the tools into the soil breaking tools, etc., breaking the knives, and secondly, if there’s lack of moisture inability to effectively seal the gaseous product into the soil. If that were to happen or in areas where that happens that will simply change the timing of the nitrogen application and perhaps the form of nitrogen application. It still would take a lot of nitrogen to support 96 million acres of corn and it will eventually get applied.
P. J. Juvekar – Citigroup: Just lastly, you mentioned a Chinese urea export number, do you have a similar phosphate export number for China?
Stephen R. Wilson : Our estimate is about 3.5 million tons of that down from around four million last year.
Operator: Your next question comes from Jeffrey Zekauskas – JP Morgan Securities.
Jeffrey Zekauskas – JP Morgan Securities: When you think about your fertilizer production capability in 2013 versus 2012 excluding the enhanced ownership interest in Medicine Hat, is it very much different than your capacity in 2012? That is does it grow and if it grows where does it grow?
Stephen R. Wilson : I think it’s moving up a little bit. I’ll ask Tony Will to comment on that.
W. Anthony Will : I think the biggest source of increase for us ’13 over ’12 is that as we mentioned early in the year 2012 had an abnormally high amount of turnaround activity. 2011 was very light, 2012 was high and 2013 will return to a more sort of moderate or normal year. So that would account for a couple of percentage point increase in terms of total production for ’13 over ’12.
Jeffrey Zekauskas – JP Morgan Securities: Just in terms of your capital expenditures in the second quarter versus the first, you spent about $30 million more, what did you spend it on? What was the nature of the step up?
Dennis P. Kelleher : We have a variety of projects in flight and a lot of that is just the timing of the cash flows and when the bills come in to be paid. As we’ve kind of provided some guidance, we’re still looking at somewhere circa $400 million for the year. I think the run rate is a bit below that currently but again, that’s more of a timing issue than whether we will get the projects done.
Operator: Your next question comes from Edlain Rodriquez – Lazard Capital Markets.
Edlain Rodriquez – Lazard Capital Markets: Just a quick question on your financial strategy, now that you’ve put to rest the share buyback issues have you ever thought of ways to make the dividend yield more attractive such as establishing a base dividend and then kind of letting it fluctuate up and down by linking it to earnings growth also?
Stephen R. Wilson : Well, we consider and debate a lot of things and that’s an interesting idea. As I commented on in my prepared remarks, we have come to the conclusion that for a company like us the best way for us to return capital to shareholders in significant amount is through a share repurchase program. It is a lot more flexible, it allows us to manage the outflow to shareholders along with other outflows, notably investments either inside the fence or M&A activity. We will continue to look at all these things as time marches on but we’re pretty comfortable with where we landed on this matrix of opportunity.
Edlain Rodriquez – Lazard Capital Markets: Now that your debt ratings have improved, how are you going to pay for the $950 million? Is it going to be all cash or is it going to be some debt related to that? Also, just in terms of the tax rate we should be looking for going forward, should it be that 32% you had in the first quarter or should it be the 36% we’ve had previously?
Stephen R. Wilson : It is our intention to pay for Medicine Hat out of available cash. Obviously, there will be a number of months between now and closing and we’ll be generating even more cash than our current position.
Dennis P. Kelleher : With respect to tax rate, you saw the tax rate whether you look at non-controlling interest or not around 35% or 32% if you include the non-controlling interest. We don’t expect that to change materially going forward it’s about where we expect to be.
Operator: Your next question comes from Analyst for Mark Connelly – CLSA.
Analyst for Mark Connelly – CLSA: I was hoping that you could provide some thoughts on extending overseas as a means of possible diversification?
Stephen R. Wilson : We have considered overseas nitrogen investment on occasion. There was a time and it wasn’t too long ago when we felt we had a desperate need to diversify away from North American natural gas risk and I guess the judicious way in which we approached it played to our advantage because we didn’t make any decisions to go forward in that regard. We don’t have blinders on though, people bring ideas to us on a sporadic basis. We always look at those ideas and should we find one that meets our criteria we would be certainly interested in pursuing it. Those criteria are being close to a reliable and low cost source of raw materials, having a stable political and economic environment, having access to deep water because of the need to trade products globally, and being in reasonable proximity to attractive markets. But from where we are today the natural gas fundamentals both in North America and around the world suggest that our North American strategy is the appropriate one. On a risk adjusted basis it’s hard for any offshore opportunity to come even close to the kind of brown field opportunities that we have in front of us today.
Analyst for Mark Connelly – CLSA: Can you give an update on your nat gas hedging strategy with gas moving up lately?
Dennis P. Kelleher : Like we mentioned in the text of our prepared remarks, we’ve got 60% of the gas we’ll need to consume in the remainder of the year has been hedged in the sense that we’ve got spots covering it and 40% is uncovered. Going into 2013 I don’t think we have very much hedged out into 2013. That’s kind of where we are.
Operator: Your next question comes from Tim Tiberio – Miller Tabak & Co., LLC.
Tim Tiberio – Miller Tabak & Co., LLC.: My question is around export phosphate prices. Based on your commentary on Latin American phosphate demand is it fair to say you see upward risk in phosphate export prices compared to the second quarter in the second half?
Stephen R. Wilson : What do you mean by upward risk?
Tim Tiberio – Miller Tabak & Co., LLC.: The potential for further price increases in the export markets.
Stephen R. Wilson : That’s risk we would welcome.
Dennis P. Kelleher : We see positive markets going forward. You still have significant India demand to be fulfilled and less Chinese product available as well as a narrow window to export that product on top of what you mentioned, the Latin America demand that would be Brazil, Argentina, as well as Chile and some of the other countries, Central America and Peru that we’re participating in. So you have that combined with low inventories around the world Europe as well as North America, so we see a positive operating environment and price environment going forward.
Tim Tiberio – Miller Tabak & Co., LLC.: Just one last question as far as the potential impact from the timing of insurance payments this year, do you think that will have a material impact on the demand linearity compared to 2011 or do you think most of the farmers should be able to get their insurance repayments before the start of the fall ammonia application season?
Dennis P. Kelleher : I wouldn’t be that narrow in your view. Yes, there is the issue of crop insurance and when those payments will be made, but you have to remember we’ve had several very positive years in the agricultural segment especially in the United States where farmers are probably doing very well on a cash flow basis and then there are other revenue opportunities or loans that are available that can be based off the crop insurance money coming in. So a farmer is not going to miss his application of crop nutrient or applications whether that be [N, P, or K] just because of his insurance payment coming in a little late. With the weather is cooperative, and his field is ready, and his crops have come off, he will apply his crop nutrients to prepare himself to plant in the spring.
Operator: Your next question comes from Ben Isaacson – Scotia Capital.
Ben Isaacson – Scotia Capital: Just two quick questions, first can you talk a little bit about where the products will get placed that you’ve purchased from CFL? Will that go to the new owners of the Viterra retail assets or will that go into your kind of larger distribution network?
Stephen R. Wilson : We’re pleased to be able to acquire that interest and have that product to sell. All that product is going someplace today, we’re going to be setting up a sales operation in that region and we look forward to developing relationships with customers who are interested in taking the product. We’ll be open for business and have the order book in hand.
Ben Isaacson – Scotia Capital: Then just a second question maybe for Bert. You talk about lower granular urea sales into the northern tier of the US. Was that a strategic decision you made on a one off basis and if so why? Or, was that due to poor demand? Can you give just a little bit of color there?
Bert A. Frost : As we look at our mix and where we move our products, we tend to move some of that Medicine Hat product into the northern tier where you had a lot of corn acreage this year which for that reason we Velva and our high ammonia pull through that terminal during April and May but then that market also uses urea as well as Montana and Idaho. So we had a little bit of a decrease in that northern tier but also we had a little less of production so that got factored into the mix.
Operator: Your next question comes from Ian Horowitz – Topeka Capital Markets.
Ian Horowitz – Topeka Capital Markets: Just a quick question around the moisture necessary, can you just give us a little bit more color? I mean I understand with some rain the fall application season can go as scheduled but what exactly does that mean? We’re seeing drought conditions throughout the US at significantly high levels, how much rain is necessary to keep everything on track?
Bert A. Frost : You have to remember when we talk about the drought it’s not throughout the United States. There are some areas that are having fairly good yields, that would be the southern tier like Mississippi, Louisiana as well as the northern tier Minnesota and North Dakota. However, there are areas that are experiencing a lack of rain as we know and that could be spotty we’re not climatologists, we’re not weather people. You read some of these reports also and current expectations, if you look at the trends for example in Boone County Iowa, the average rain fall is eight inches during the period of September through November and we expect that if they were to receive five inches, during that period, that would be significant enough to allow not only application but sealing of the ammonia.
Ian Horowitz – Topeka Capital Markets: So something along that kind of ratio would be necessary to be able to do a traditional application?
Bert A. Frost : I gave you a snapshot of one county in Iowa just to give you an indication. We do need rain. It will come in some form or fashion and if there’s not sufficient rain available then UAN becomes a great product and we happen to be a great producer of that product.
Ian Horowitz – Topeka Capital Markets: Is there a temperature issue that we should be concerned about as well for fall?
Bert A. Frost : No, our customers the retailer, wholesalers and traders that sell our products to the farmer, the farmer is well aware of what he needs to do ergonomically to be successful and that’s following the four R application and there’s a specific temperature of around 50 degrees that they target. So it’s not necessarily an ambient temperature but a soil temperature that they target and then obviously, like I said earlier, the ability to seal.
Operator: Your next question comes from [Mark Gooley – Gooley & Associates].
[Mark Gooley – Gooley & Associates]: I have two questions, I’m going to ask you to put on your crop economist hat for a second. If you go back and look at what demand forecasts were for corn way back in let’s say February we were talking about 13 million bushels, do you have a view right now how much at least semi permanent demand destruction there’s been because of these high prices, demand that won’t come back for a bit on a go forward basis as we look into demand for next year?
Stephen R. Wilson : I don’t think I have such a number. I wouldn’t suggest that there’s any permanent demand destruction. The market will correct itself. When we get off $8 corn we’ll have some demand come back. When it gets down to $6 we’ll have more come back. It’s a pretty elastic market.
[Mark Gooley – Gooley & Associates]: Secondly, with respect to your purchase of the Medicine Hat minority interest, I guess the good news is that you got that at a very attractive EBITDA multiple. But I guess the flip side of that coin is a little bit to the extent that the seller is willing to part with that asset at such a low multiple, what does that say about the profitability prospects for ammonia going forward? It would suggest that perhaps these peak levels are peak levels and that the real multiple on a go forward basis is somewhat higher than the one you might calculate.
Stephen R. Wilson : I have two comments on it. First of all, the seller is not in the fertilizer manufacturing and distribution business. The seller is after other assets out of Viterra, the grain assets in particular so this is an asset that they weren’t interested in maintaining. Secondly, this is quite an attractive area. It’s gas cost advantaged and I think likely to continue to be so and I’d suggest that anyone who cares to look at this more closely can simply take the additional volumes we are acquiring, apply an [inaudible] of gas cost and market prices that are available in that region which are readily available in public sources and I think you’ll find that the EBITDA potential there is quite attractive and we’re very excited to be acquiring this asset at this price.
Operator: Ladies and gentlemen I will now turn the call over to Dan Swenson.
Dan Swenson: We’d like to thank everyone who participated on the call today. If you need more information about CF Industries or our results, please contact me. Operator, that concludes our call.
Operator: Thank you very much. This concludes today’s conference. Thank you for your participation. You may now disconnect. Have a great day.